Operator: Good day, everyone, and welcome to today's Sempra Energy Fourth Quarter Earnings Conference. Just as a reminder today's call is being recorded. At this time, I'd like to turn the conference over to your host for today Mr. Rick Vaccari. Please go ahead sir.
Richard A. Vaccari - Sempra Energy: Good morning, and welcome to Sempra Energy's fourth quarter and full year 2015 financial presentation. A live webcast of this teleconference and slide presentation is available on our website under the Investors section. Here in San Diego are several members of our management team, Debbie Reed, Chairman and CEO, Mark Snell, President, Joe Householder, Chief Financial Officer, Martha Wyrsch, General Counsel, Trevor Mihalik, Chief Accounting Officer, Dennis Arriola, Chief Executive Officer of SoCalGas, Jeff Martin, Chief Executive Officer of SDG&E and Octávio Simões, President of Sempra LNG. Before starting, I would like to remind everyone that we'll be discussing forward-looking statements on this call within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those discussed today. The factors that could cause our actual results to differ materially are discussed in the company's most recent 10-K filed with the SEC. It's important to note that all of the earnings per share amounts in our presentation are shown on a diluted basis and that will be discussing certain non-GAAP financial measures. Please refer to the presentation slides that accompany this call and to Table A in our fourth quarter and full year 2015 earnings press release for a reconciliation to GAAP measures. I'd also like to note that the forward-looking statements contained in this presentation speak only as of today, February 26, 2016 and the company does not assume any obligation to update or revise any of these forward-looking statements in the future. With that, please turn to slide four and let me hand the call over to Debbie.
Debra L. Reed - Sempra Energy: Thanks, Rick. Before discussing the quarter, I would like to say a few words about the natural gas leak at our Aliso Canyon storage facility. On February 18, the Division of Oil, Gas and Geothermal Resources or DOGGR, confirmed that the leaking well is permanently sealed. Our focus since the beginning has been on safely stopping the leak, reducing the odor from the well, reducing the amount of natural gas being emitted into the environment, working cooperatively with agencies and elected officials and supporting local residents, including providing temporary housing and air filtration system. Now that we have stopped the leak, an independent investigation of the root cause will be conducted. I want to emphasize that providing safe and reliable service to our customers is the highest priority for SoCalGas. We will continue to work with our regulators and customers to ensure our path ahead reflects these values. Later, I will provide more information on Aliso Canyon, and Dennis and Martha are also here to address your question. Turning to our financial performance; in 2015, we had very strong results and exceeded our adjusted earnings guidance. This morning, we reported full-year earnings of $5.37 per share, or $5.21 per share on an adjusted basis. Our 2015 results were driven largely by growth in operating earnings at our California Utilities and Sempra International. In addition, our board approved an increase in the 2016 dividend to $3.02 per share. This payout represents an 8% annual increase and provides dividend growth that more closely aligns with the 11% annual increase in our 2015 adjusted earnings. Moreover, we are targeting annual dividend increases of 8% to 9% over the next several years, to better align our dividend growth with our projected EPS growth. Our dividend strategy is underpinned by confidence in our future cash flows and supports our commitment to return capital to our shareholders. Regarding 2016 earnings; we have updated our assumptions, and are providing an adjusted EPS guidance range of $4.80 per share to $5.20 per share, when compared with the 2015 results, we forecast a higher effective tax rate for 2016. In part this is due to a large number of benefits recorded last year that related to the resolution of tax matters. Also as we move into the new GRC cycle at our California utilities, we will now be providing an estimated $60 million of repair allowance tax benefits to ratepayers as part of the standard rate case true-up. In our 2016 adjusted guidance, we assume that we retain all repair allowance benefits for tax years preceding our new GRC. Key updates and comparison to the 2016 guidance we provided at last year's Analyst Conference reflect several other factors. Notably, we include our best estimate of the GRC decision for the California utilities, based on our settlement agreement, as well as new market assumptions for commodities and foreign exchange rates that have changed considerably since last year. Additionally, our adjusted guidance range now includes approximately $20 million to $25 million of estimated LNG development expense. Regarding transactions we announced last year, that were additive to our base plan, such as the potential PEMEX acquisition and new renewable contracts, we expect our earnings impacts to largely occur in 2017 and beyond. Please note that our proposed GRC settlement agreement is subject to CPUC approval and we do not anticipate receiving a final decision until the second quarter. We have moved our Analyst Conference to May in order to incorporate an expected final GRC decision. And we'll provide you with our business unit guidance and longer-term projections at that time. Overall, we are well-positioned to achieve our long-term strategy of providing earnings growth that is twice that of the average utility but with a moderate risk profile. Combined with strong anticipated growth in the dividend, we are focused on providing top-tier shareholder return. Now, please turn to slide five. This slide summarizes the key assumptions included in our 2016 adjusted EPS guidance. I will briefly discuss each item and you can find additional detail in the appendix. First, as I mentioned earlier, this year, we include developing costs for our LNG liquefaction and related infrastructure opportunities. In 2015, we had about $10 million of similar expense that was excluded from adjusted guidance due to uncertainty about the nature and timing of these costs. Given progress on the projects and our estimates of the spend rate and amounts capitalized and shared with partners, we now include a 2016 after-tax expense of roughly $0.08 to $0.10 per share. Please note, however, that the vast majority of planned expenses targeted for Port Arthur and related infrastructure as we have already incurred most of the upfront costs for Cameron expansion. Going forward, we will be sharing cost for Port Arthur with our partner Woodside. We will nevertheless monitor our progress in securing market commitments and other needed approvals to advance the project. To the extent, our progress is slower than expected, we will adjust our spending accordingly. Next, we've seen a significant decline in natural gas price forecast over the past year. Specifically, the Cal border 2016 forward curve has fallen from $3.60 in our prior guidance to $2.60 in our new adjusted guidance. The impact from this assumption is a reduction in earnings of approximately $0.05 to $0.07 per share that is associated with the LNG marketing contract from our ECA import facility in Mexico. Third, we reduced projected earnings from the TDM power plant due to lower power prices and lower expected capacity revenue. This month IEnova decided to hold the assets for sale. The sale would complete our exit from merchant generation and allow IEnova to deploy capital and projects that provide more stable earnings. While we project approximately $0.04 to $0.06 per share of reduced earnings associated with TDM, we do not consider any potential gain or loss from the sale in our adjusted guidance. Moving to Parent, we assume that we will use dividends from Mexico to participate in a potential IEnova equity offering. We forecast a 2016 earnings benefit from lower repatriation tax expense of between $0.08 and $0.10 per share. Offsetting this impact is an estimated $0.04 per share after-tax of higher interest expense to fund projects in our base plan. Next, like natural gas prices we have seen exchange rate forecast moved significantly over the past year. Relative to our previous guidance, our current forecast is for the dollar to strengthen in 2016 by an additional 20% against the Chilean currency and by an additional 13% against the Peruvian currency. Projected earnings are reduced by roughly $0.09 to $0.11 per share as a result of translating South American earnings into dollars. In Mexico, we have not previously forecast the impact of foreign currency effects. We now include in our adjusted guidance a reduction in tax expense associated with peso depreciation during 2016. Based upon the forward curve at year-end, we estimate this benefit to be approximately $0.05 to $0.07 per share. With regard to IEnova's acquisition of PEMEX, this ownership and their shared joint venture, Mexico's Competition Commission has required PEMEX to competitively auction two assets included in the original transaction. IEnova is negotiating changes to the original agreement with PEMEX that will reflect the auction outcome among other things. Our adjusted guidance assumes that the transaction moves forward with the same assets and closes in the third quarter of 2016. Based on this timing, we assume an estimated $0.02 of accretion this year. Our adjusted guidance excludes however, any potential gain associated with the remeasurement of our investment in the joint venture. In our Renewables business, we incorporate new forecast for wind resource and availability that reduced earnings by approximately $0.02 per share. However, our base plan now includes 328 megawatts of additional projects announced last year that are under construction. Given that these projects are expected to be in operation by the end of 2016, we expect to see the full earnings impact beginning in 2017. Finally, for the California utilities, our prior guidance was based on a very conservative assumption that revenues would be based on our current attrition mechanism with no further adjustments. Our new adjusted guidance range includes projected earnings that are more closely aligned with the GRC settlement agreement, and our best estimate of the outcome given the record in the preceding. Now, let's go to slide six for our business update, beginning with the California utilities. In our general rate case, we are currently expecting to see a proposed decision in March and to receive the final decision in the second quarter. As you recall, we reached a multiparty settlement agreement with the major parties in the case. Until we get a final GRC decision, we will record revenues based upon the authorized revenue requirement in 2015. When we receive the final decision, we will make an adjustment to reflect the retroactive earnings back to January 1, 2016. Turning to Aliso Canyon; we have received confirmation from DOGGR, the California agency responsible for regulating gas storage, that the leaking well has been permanently sealed. We have approximately 15 Bcf of natural gas in the storage field and the field is stable. Moving forward, an independent engineering firm has been selected by DOGGR and the CPUC to investigate the root cause of the leak. While we do not know how long this process will take, we will cooperate on the investigation and share publicly available data. Consistent with new rules under development, we are implementing enhanced leak detection and well inspection activities. We are also working cooperatively with all of the agencies involved to determine a path forward for the facility, which is regarded as integral to the reliability of the electric grid in California. Reflecting the most up-to-date information, which primarily includes revised temporary relocation and well drilling expenses, we now estimate the total costs or amounts to pay (13:45) and those forecasted to be paid to be approximately $330 million. Of this amount approximately 90% is for the temporary relocation program cost to address the leak, and attempts to stop or reduce the emission. The remaining amount includes among other items, the value of lost gas and estimated cost to mitigate the GHG emissions. For the estimate, we assume the relocation period for the majority of residents ended on February 25, as they agreed upon with the City of Los Angeles. We have concluded it is probable that we will receive insurance recovery for the total amount, less retentions of $325 million. Beyond this estimate, we cannot predict all of the potential categories or total amount of future costs that we may incur as a result of the leak. We have at least four types of insurance policies that provide in excess of $1 billion in insurance coverage. Based upon what we know today and subject to various policy limits, exclusions and conditions, we believe that our insurance should also cover the following categories not included in our estimates. Costs associated with litigation and claims by nearby residents and businesses and in some circumstances depending upon their nature and manner of assessments, fines and penalties. I refer you to our 10-K for further details. Please turn to slide seven. In Mexico, CFE is tendering several more gas pipelines. IEnova submitted a bid for one pipeline earlier this month, is in process of submitting a bid for second and is preparing to submit a third bid in March. According to CFE estimates, the three pipelines represent an investment opportunity of almost $2 billion, and we expect award dates to occur in March and April. This spring IEnova is also preparing to participate in Mexico's first auction of renewable energy certificates. IEnova is looking at potential solar opportunities and may submit a bid to expand the ESJ wind facility with this joint venture partner InterGen. The CFE would be the initial off taker under 15-year to 20-year contracts, and total awards could amount to 2,500 megawatt of new power generation. In our LNG business, there have been two noteworthy development. Our Cameron expansion project received its FERC environmental assessment on February 12, and we expect to receive the FERC permit in the second quarter. Though current market conditions are not ideal, Cameron train 4 is a very competitive market offering for long-term buyers. Based on recent meetings with potential customers, we are bypassing the memorandum of understanding stage and are in negotiations for definitive 20-year sales and purchase agreement. While our sales and purchase agreement will take longer to execute than an MoU, we are targeting the second half of 2016 for announcing customer agreements needed to launch the project. This approach provides us greater certainty on project commitments, prior to incurring large capital expenditures. For Port Arthur, yesterday, we signed a joint development agreement with Woodside Petroleum that outlines development roles in the potential project. In addition to how we will share costs and market capacity, the agreement provides a framework for how we will work together technically to design a cost competitive plant. Last month, I was in Australia meeting with the CEO and senior management of Woodside, and we shared the view that Port Arthur has good market prospect post 2020. Before moving on, remember that we have not incorporated additional LNG or other growth projects in our guidance. We are actively working on development opportunities across our businesses that could provide upside to both our near-term and long-term projection. With that, please turn to slide eight and Joe will discuss our financial results. Joe?
Joseph A. Householder - Sempra Energy: Thanks, Debbie. Earlier this morning, we reported fourth quarter earnings of $369 million. On an adjusted basis, we reported fourth quarter earnings of $370 million, or $1.47 per share. Adjusted earnings in the fourth quarter exclude $3 million of expenses related to the development of our proposed LNG liquefaction project. In addition, in October 2015 an agreement was reached with the SONGS insurance provider for a $400 million payment associated with the failure of the replacement steam generators. Of this amount, SDG&E's share was $80 million. After reimbursement of legal fees and an allocation of $75 million of net proceeds to the ratepayers, our fourth quarter adjusted earnings exclude a $2 million after-tax adjustment to the loss on the SONGS plant closure. Full year 2015 earnings totaled $1.349 billion, or $5.37 per share. This compares to 2014 earnings of $1.161 billion, or $4.63 per share. On an adjusted basis, 2015 earnings were $5.21 per share. Year-over-year, adjusted earnings grew 11%. Individual financial results for each of our businesses can be found in the section of our presentation, entitled business unit earnings. I will address the key drivers for our consolidated quarterly results, now on slide nine. Compared to the prior year, fourth quarter earnings include a $48 million seasonality impact that increased earnings of SoCalGas. We call that applying seasonality to earnings of SoCalGas does not affect full year results, instead this fourth quarter variance offset seasonality impacts during the first three quarters of the year. At Parent, we recorded $21 million of lower tax expense, primarily related to a favorable resolution of prior year's income tax matters and reduced repatriation of dividends from Mexico. The lower tax expense at Parent, along with lower effective tax rates of the California utilities were primary reasons why we exceeded our revised 2015 adjusted guidance that we gave on our third quarter call. Third, SoCalGas recorded $16 million of higher earnings due to a higher CPUC base margin net of operating expenses and offsetting these factors was $18 million of lower tax expense in South America in 2014, as a result of Peruvian tax reform. Now, let's conclude. So please turn to slide 10. Overall, we delivered strong financial results in 2015 and exceeded our adjusted guidance. Solid growth in operating earnings and confidence in our long-term cash flows supported our decision to raise the 2016 dividend. In order to better align our future dividend growth with projected EPS growth, we are now targeting annual dividend increases of 8% to 9% over the next several years. Looking ahead over the next five years, we continue to anticipate earnings growth around twice the level of our utility sector average. Combined with the strong dividend growth, we aim to provide top-tier total shareholder returns. With that, we will conclude our prepared remarks and start to take any questions you may have.
Operator: Thank you. We'll go first to Greg Gordon of Evercore ISI.
Greg Gordon - Evercore ISI: Thanks. Good morning, guys.
Debra L. Reed - Sempra Energy: Good morning, Greg.
Greg Gordon - Evercore ISI: Debbie, I know that it's not – in the normal course, you usually don't update your five-year earnings growth forecast until the Analyst Day. But can I take from your comments early in your presentation that you still feel like the fundamental building blocks in the prior five-year plan that drove the earnings growth you articulated last February, are still substantively in place?
Debra L. Reed - Sempra Energy: Greg, I think that's an excellent way to put it actually. If I look at the fundamental building blocks, as you know, our business is based upon long-term contracted and utility asset. And when we lay out our growth rate, the key things that are driving our growth longer-term are Cameron 1 through 3, which is progressing on schedule, on budget and we expect that to come online in 2018, as we've outlined before. Our Mexican pipelines are now, all except for three of them are actually in operation that are contracted, and so that is going quite well. And then our utility businesses and the fundamentals of our utility businesses as you can see from last year's earnings are very strong. And we would anticipate getting a rate case decision soon and one reason we want to hold off providing any numeric guidance is that we want to get that rate case decision and then be able to go through as we always do with you at the Analysts Meetings the details. The other thing I'd just comment on is, our board felt that there is great visibility to our growth. And since it's long-term contracted in utility, they were very comfortable, setting an 8% to 9% target for our dividend increases over the next several years. And I think that is a really strong statement in our sector to be able to grow your dividend at that kind of rate.
Greg Gordon - Evercore ISI: Right. And that's up from the last articulated target of 6%, correct?
Debra L. Reed - Sempra Energy: Yes. We had talked before of about 6% growth rate in the dividend and now we're talking about 8% to 9% over the next several years.
Greg Gordon - Evercore ISI: Okay. Shifting gears to Aliso. You've articulated what your estimate is relative to the line items you've laid out. As we go forward here and we think about the path to understanding whether or not there will be further costs as they relate to fines or penalties. Which of the primary agencies that will be reviewing the safety, efficacy, performance of the plant? And if there were to be fines or penalties, in what categories would they potentially fall and who would be the agency that would be deciding whether or not to implement them?
Debra L. Reed - Sempra Energy: Well, let me just start by saying that the key agencies that are doing the investigation are the Department of Oil, Gas and Geothermal Resources or DOGGR, and the CPUC. And they're now beginning the investigatory phase to see what's happening on the leak. I'm going to refer to Martha regarding the whole scope of agencies that would be involved and how we deal with fines and penalties. I will say though that there haven't been any that have been assessed. So, it's kind of hard to estimate anything. Martha?
Martha Brown Wyrsch - Sempra Energy: Thank you, Debbie. That's correct. The DOGGR and the California PUC are the primary agencies that would be – are investigating, and would potentially fine the company for what they discover in the investigation. And as Debbie said in her remarks earlier, our insurance coverage is quite broad with the four insurance policies that we have, and we do believe that in certain circumstances and depending on the nature and manner of the assessment, that insurance should cover fines and penalties.
Greg Gordon - Evercore ISI: Okay. Last question, in the California utilities bucket of things that have changed, I just wanted to be clear on my understanding. The first thing that's changed – has changed is or one of the things that's changed is you're no longer budgeting for $60 million of repair allowance and tax benefits. But the other thing that's changed is you've updated your assumptions for to take into account what you believe the impact is of the underlying economics of the settlement. Are those the two major changes?
Debra L. Reed - Sempra Energy: Greg, that's correct. As we've looked at this, we told you last March that, when – under the rate case process that when we go through the rate case process, that there will be a true-up on this repairs allowance, and that was approximately $60 million. So, our earnings would be reduced for that going into 2016 in our utilities. But then we've reached this rate case settlement and when we've laid out kind of our guidance for 2016, our assumptions are and our range is that something similar to the rate case settlement would be adopted, and that's what we would anticipate.
Joseph A. Householder - Sempra Energy: Let me, Debbie this is...
Greg Gordon - Evercore ISI: $60 million is after-tax right?
Joseph A. Householder - Sempra Energy: Hey Greg, Greg...
Greg Gordon - Evercore ISI: Sorry.
Debra L. Reed - Sempra Energy: Yes, because it's a tax item, but Joe wants to say something.
Joseph A. Householder - Sempra Energy: Yeah. Greg, this is Joe. I just want to make sure just to be clear for you and others, the $60 million was taken into account in the guidance we gave you last year for 2016. So that's not something that was new in our new introduced guidance today, but the GRC settlement was new, but the $60 million was in last year's number.
Greg Gordon - Evercore ISI: Okay. So $60 million was baked into the February guidance number? Thank you.
Joseph A. Householder - Sempra Energy: Yeah. But it's important to understand because it's a difference going from 2015 to 2016. So it's a critical item to understand.
Greg Gordon - Evercore ISI: Got you. Thank you. I'll get off now. Thanks.
Joseph A. Householder - Sempra Energy: Okay.
Debra L. Reed - Sempra Energy: Thanks, Greg.
Operator: We'll move next to Steve Fleishman of Wolfe Research.
Steve Fleishman - Wolfe Research LLC: Yeah. Hi, good morning. Apologize to answer. To ask a question that you probably don't want to directly answer right now, but just you're on the one hand saying the 8% to 9% -
Debra L. Reed - Sempra Energy: Steve.
Steve Fleishman - Wolfe Research LLC: Yes, can you hear me?
Joseph A. Householder - Sempra Energy: Yeah, I can hear you now.
Debra L. Reed - Sempra Energy: Now we can hear you. We honestly did not cut you off.
Steve Fleishman - Wolfe Research LLC: Okay.
Debra L. Reed - Sempra Energy: We can hear you now.
Steve Fleishman - Wolfe Research LLC: You might regret that you didn't after I ask this question. But so just on the long-term growth rate, so we have two data points today. We have twice the utility average, and we have 8% to 9% dividend growth that better aligns with long-term earnings growth. Is it fair to say the 8% to 9% is not a view of your long-term earnings growth?
Debra L. Reed - Sempra Energy: Yes, that's fair to say. I mean I'll answer that question. And I'll give you a – I'll use 2015 as an example. We grew 11% in 2015, we increased our dividend by 8%. So I would not link the two directly together. What I would look at is, what are the fundamentals of the growth drivers? And the fundamentals of the growth drivers are Cameron getting online on time, our utilities performing well and our Mexican pipelines being constructed and in service and all of that is going quite well.
Steve Fleishman - Wolfe Research LLC: Okay, great. And then on the Cameron 4 update and the decision to move to directly to a contracting as opposed to an MoU, could you just maybe give a little bit more color on why you're doing that, and is that something the customers want or is that something that's better for you so you don't have to commit as much up front? I wasn't sure I understood the rationale there.
Debra L. Reed - Sempra Energy: Sure. I'm going to ask Octávio to cover that, but what I would say is, we see it as better for us, because we do have a timeframe by which we have to commit to get Cameron in service and maintain continuous construction. So actually getting the sales and purchase agreements done and have definitive agreement is a real positive for us, so this is something we like to have in place. Octávio why don't you have a talk about it from the customer perspective as well.
Octávio Simões - Sempra LNG Corp: Sure. Thank you. The reason why is because as Debbie indicated, we have a timeframe that's tight and we're trying to take advantage of the long-term pricing that we have from our EPC contractor. So going through an MoU, we'd (30:58) create an additional step that might drag that schedule. And as you know, given the way, we structure our deals on the LNG. We're not just selling cargos for a price, which would be a much easier sale. We're actually putting together deals that deal with low commodity risk and essentially long contracting capacity for the liquefaction, so we have to speak a lot to our customers about the upstream conditions, where the gas comes from, where it's delivered, how it's delivered and those tend to be more complicated sessions. And as a result, we've all decided to go forward. It wasn't just us, the customers also decided to go that way. So the people we're talking to at this point, we've all agreed to pursue the supply purchase agreements and gas supply agreements as part of our discussions in order for later in the year to have the full commitment to take the commitments we need to make on the capital side to launch the project.
Steve Fleishman - Wolfe Research LLC: Okay, great. And one last question on Aliso. Could you maybe just talk a little bit more about the – and I know this is hard without the root cause analysis. But one is, the potential scenarios of fixes for the future. And then I guess the second question is, it does seem like Aliso is a critical facility for reliability in California. Could you talk a little bit about that issue and this conflict with some people wanting it not to start up?
Debra L. Reed - Sempra Energy: Sure. I'm going to have Dennis address that. What I will say is that the DOGGR has come out with a new set of rules that we're already implementing, and that they are very, very parallel to what we filed a few years back in our rate case for our program that's called Storage Integrity Management Program or SIMP. And so, I think that there are processes and things that we actually envisioned and already had filed for in our rate case that would allow us to safely operate this field going forward. Dennis, do you want to address further?
Dennis V. Arriola - Southern California Gas Co.: Sure. Good morning, Steve. Yes. As Debbie talked about our SIMP program and you know at the utilities we have an acronym for everything. But we actually started on a pilot program back in 2014, even before we got an approval. And as you know, we have requested within our general rate case for additional funding for our Storage Integrity Management Program. So that, we're waiting for the final decision there. As far as the importance of Aliso and just gas storage in general to both gas and electric reliability, I think it's been very clear with a lot of the comments by both policy and regulatory leaders, especially coming from the California Energy Commission as well as the PUC that it's vital that we have safe and reliable gas storage to support not just gas demand, but especially in the Los Angeles basin electric reliability as well. So, we're pleased to see that even in the visit that Department of Energy, Secretary Moniz, when he came out and visited, he reemphasized the importance of making sure that obviously, the facilities are safe, but that we have been back online in order to support both gas and electric reliability. So we know that there is, as Debbie mentioned, there is a full process that's been approved by DOGGR on their comprehensive safety review, we're working very closely with them on that. There is also some legislation that's been presented that, so far is open to amendments to incorporate as a process that DOGGR has laid out. So we're optimistic that sounder minds now from a policy, regulatory and political side recognize the importance of getting Aliso back online as safely and as expeditiously as possible.
Steve Fleishman - Wolfe Research LLC: Okay. Thank you very much.
Operator: Moving on to Neel Mitra of Tudor, Pickering.
Neel Mitra - Tudor, Pickering, Holt & Co. Securities, Inc.: Hi good morning.
Debra L. Reed - Sempra Energy: Hi, Neel.
Neel Mitra - Tudor, Pickering, Holt & Co. Securities, Inc.: It's been awhile since we've gotten an update on Mexico. Obviously, you have three bids coming up that are pretty important. Could you just comment on the competitive environment there, and what you're seeing and possible opportunities beyond just the CFE pipes at this point?
Debra L. Reed - Sempra Energy: Sure, and I'll have Mark talk about some of the upcoming bids, but what – a couple of things I've said before and I'll say again in terms of Mexico and the key thing for us is that we have a really great set of assets in Mexico, that are expandable assets that have additional growth potential. And so, these bids are very important to expand the infrastructure that we own there, but they are not the only way that we can grow in Mexico. And Mexico now have some pipeline bids that are going to be coming for us very soon, we've talked about the three that are out for bid right now, there will be others that will come out later this year. Mexico is also going out for bids for about 2,500 megawatts of renewables. And we have our ESJ plant operational there, that has the availability to expand by about a 1,000 megawatt. So, we think that's a great opportunity and then at Mexico is looking at going into other areas of bidding with electric transmission and electric generation. So, there's bidding but there is also growth potential that occurs from the great asset base that we have there. Mark, do you want to talk about kind of the bids and...
Mark A. Snell - Sempra Energy: Sure, Debbie. There is – as you know there is three pipelines right now that are currently under that we have submitted bids for and we're awaiting the determination. In total, it's roughly a couple of billion dollars' worth of work. We think, we're well positioned for it, but as you've seen there are – there has been some increased competition for some of these pipeline bids, but we're sticking to our kind of strategy of targeting kind of high single-digit IRRs and we're really looking to try to pick up these ones that we think fit our – that fit our profile and what we're looking for and obviously, we're interested in these at the right price. But I think the most important thing is Debbie's point is on the opportunities around our existing pipeline footprint, which, just to remind everyone, we are the largest pipeline operator in Mexico. We're very well-positioned, not only for this new work, but to expand those opportunities and start building laterals into other industrialized areas. And so, we see the opportunity for IEnova in Mexico for continued growth. And I think we've all seen some of the comments on PEMEX over the last few days and their desire to raise additional capital and to think about selling some of their additional assets, we're very well poised to take advantage of those opportunities, our relationships there are very strong. And so, we're very optimistic about IEnova's growth potential.
Neel Mitra - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay. So to summarize really basically, you believe that there's a lot of lateral opportunities just beyond the CFE pipes which you can service off of your existing infrastructure. Is that the right way to think about it?
Mark A. Snell - Sempra Energy: Yes. That and also – and eventually additional capacity through compression on a lot of the lines that we currently operate.
Neel Mitra - Tudor, Pickering, Holt & Co. Securities, Inc.: Got it. And then moving to the GRC settlement, the extension from Q1 to Q2. Is there anything to read into that bonus depreciation, extension, et cetera? Do you feel comfortable with the settlement at this point? Or any thoughts on that?
Debra L. Reed - Sempra Energy: Yeah. I mean we feel comfortable, but we're going to get a decision, proposed decision in the March timeframe. I mean that's what we're looking at. And the issue of bonus depreciation was part of the litigation in the record of the rate case and the settlement was made understanding that there was some potential for extension of that. So we think that the settlement is – we think it's likely to get adopted. And we think that we should have a decision hopefully sometime in the second quarter.
Neel Mitra - Tudor, Pickering, Holt & Co. Securities, Inc.: Okay, great. Thank you.
Operator: We'll go next to Julien Dumoulin-Smith of UBS.
Julien Dumoulin-Smith - UBS Securities LLC: Good morning, good afternoon.
Debra L. Reed - Sempra Energy: Hi Julien.
Julien Dumoulin-Smith - UBS Securities LLC: Hey. So just following up a little bit more on the Aliso conversation, can you elaborate a little bit more on thoughts on next steps just both from a regulatory process? But perhaps, more importantly from an operational perspective, how do you think about getting the asset back in the service? And then also, how do you think about your own investment plan in light of what may be required out of that regulatory process, and or working around any limitations on the Aliso Canyon asset itself?
Debra L. Reed - Sempra Energy: Yeah, let me just take a comment on that and then I'm going to refer to Dennis on coming back into operation. I think one thing that's quite positive is that when we filed our rate case we had actually filed for a program that would do internal inspections of wells and some of the things that has now happened on pipelines. And we filed for a program that would do that for storage facilities. And that in the rate case settlement, we ended up with two-way balancing account that would allow us to make those kinds of investments to do the review of the storage wells and go through them on a programmed planned kind of a basis, which is what we had proposed. But getting that all in place now and getting the facility operational for injection season, we've been spending a lot of time looking at how we use that program, which is basically aligned with what the Department of Oil, Gas, and Geothermal Resources or DOGGR has kind of outlined as well. So Dennis why don't you kind of talk about what we're doing now with Aliso and all of our storage facilities there.
Dennis V. Arriola - Southern California Gas Co.: Good morning, Julien. Let me start with Aliso and it's kind of really a two-pronged approach. First is, we're, obviously, as Debbie mentioned, we're cooperating with the investigation that's being led by DOGGR and the CPUC and they have an independent expert on the outside, a company call Blade Energy Partners. And so we're supporting them and they're really driving the time schedule there. So whatever time it takes for them to do their work and to issue the report, will kind of take its own path. But as far as getting the field back into service, as I mentioned DOGGR has issued its comprehensive safety review that we're working with them on. And it's very detailed process of testing, inspecting if necessary repairs. And as Debbie mentioned, it really does, it's very parallels, what we had put in place as far as our SIMP program and what we're doing from a pilot standpoint. So, we're working to expeditiously implement that. It's hard to tell at this point in time how long it will take us to get through all of the 115 wells. But the way that the program is put together, it does allow us once we've accomplished a minimum threshold of tests on all the wells, we can start bringing some of the wells on. We don't have to do complete work on a 100% of those. We can isolate or abandon certain wells and bring on the other wells at the same time. So, we'll be giving further updates on that down the road, but I think the key points there is, again, policy makers, the regulators and we're very closely working with all of these. So that they understand what could happen, both here in the summer from electric reliability standpoint and from a gas standpoint. We're all really working together to make sure that Aliso and all of our gas storage facilities are safe and reliable. And they can service our customers. We're also – there also is an emergency regulation that was put in place by DOGGR, is that applies to all gas storage facilities, not just Aliso. And so we're complying with that as well. And that includes things such as daily pressure reads, testing the wellhead valves, and some other procedures that have to be put in place. So there's a lot going on, we've got a people at all of our facilities. And we're focused on again doing this as expeditiously and as safely as possible.
Julien Dumoulin-Smith - UBS Securities LLC: Great, excellent. And just quickly following up on one of the last questions, with respect to the decision to move from an MoU to just an outright contract. Let me just be very clear about this. Your confidence level is higher incrementally or you said, obviously less ideal market backdrop, but moving in that step, I would presume to be a statement of comfort that indeed this is moving forward. But I don't want to put words in your mouth either.
Debra L. Reed - Sempra Energy: Yeah. I mean there is no question that the market is tougher than it was when we signed Cameron 1 through 3. But Octávio has been negotiating with some very strong counterparties and they want to go to sales and purchase agreement, we want to go to sales and purchase agreement. That would allow us more comfort in starting to spend money on the facility, because it kind of lays out all the terms and as long as long you meet those terms, then they are obligated. And an MoU doesn't have that same level of obligation. So, I think getting these sales and purchase agreement signed, would give us a lot of confidence and being able to move forward with the facility later this year. Octávio, do you want to add anything to that?
Octávio Simões - Sempra LNG Corp: No, I think that we're pretty much as Debbie indicated, it's good that we're moving in this direction, obviously the counterparties are using resources that are expensive, whether it's a law firms or their internal resources. So there's interest involved in this. As you know this is a facility that's not selling into the current market, it's a facility that's going to sell into market 2020 plus. And it's going to be one of the lowest, if not the lowest facility at that point in time to deliver LNG to a time where just about anyone agrees, there is going to be a shortage of supply.
Julien Dumoulin-Smith - UBS Securities LLC: Got it. Thank you.
Operator: Citi's Faisel Khan has our next question.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Thanks, good afternoon.
Debra L. Reed - Sempra Energy: Hi, Faisel.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Hi, Just the decision to expense some of the LNG development expenses, was that for Port Arthur or was that for Cameron's trains 4 and 5?
Debra L. Reed - Sempra Energy: Most of the – the majority of the $20 million to $25 million is for Port Arthur and it's to do the work that's necessary to design enough of the facility where you can price it so you can market it. And that is engineering and legal cost and all. And then legal cost associated with the sales and purchases agreements for Cameron, and then the related facilities, the pipelines and storage and all of that integrate with that. That's what's most of the costs are. And they're expensed because those are the accounting rules, once we get contracts signed, then we would expect that this expense to not be part of our ongoing guidance, because we'll spend the funds once. And once we get contract signed then we will begin capitalization of the substantial part of the project costs.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Okay, got you. And then in terms of as you enter into these negotiations for train 4, what are the hurdle rates you're looking at in terms of a return on capital for the project? Is it similar to the IRRs you were talking about with the Mexico pipeline that are 9% or is it higher? How do you guys look at the returns?
Debra L. Reed - Sempra Energy: We don't share that, because we're still negotiating with customers. But we always look at what our cost of capital is on a risk adjusted basis. And that we would have a reasonable return for that. So I mean, that's the way we would be looking at it, and our returns tend to be in the high-single digits, low-double digits for most of our projects so.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Got it. And then could you remind us on the pipelines in Mexico, the tariffs are in dollar denominated terms. Is that correct, or am I or some of them in peso terms?
Debra L. Reed - Sempra Energy: In Mexico, our tariffs are in dollars, but we pay taxes in pesos. And so that's why we have the FX issue in Mexico, which usually has recently as always been in our favor in Mexico.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): So it just happens to be a coincidence that the tax benefit in Mexico offsets the currency depreciation in Chile and Peru?
Mark A. Snell - Sempra Energy: It's a little more than a coincidence. There usually a some relation to currency valuations around the world, but it has been more of a one-for-one offset in the past, it has disconnected a little bit as we've moved forward.
Joseph A. Householder - Sempra Energy: Faisel, this is Joe, I'll just add on to Mark's comment. The FX benefit in Mexico, doesn't have to do with the tariffs, because all of these dollar denominated contracts and our dollar denominated business is really the functional currency and that's how we operate in Mexico, but we have to pay our taxes in pesos. And the Mexican tax rules require that we have FX adjustments related to our monetary assets and then taking into account inflation. And so, as these currencies kind of move in a similar direction against the U.S. dollar, we get this natural hedge, natural offset.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Okay, I think that makes sense. And then when you talk about your guidance though for 2016, you're talking about a further depreciation in some of these currencies, or are you just looking at the forward rates? I just wanted to make sure I understood that language.
Debra L. Reed - Sempra Energy: Yeah. Joe, why don't you kind of walk through that?
Joseph A. Householder - Sempra Energy: Yeah, let me walk through that Faisel, because I think this is important for everybody to understand and we talk about it from time-to-time. But we have some really, really well run utilities in South America, and over time, those have done extremely well and you can look back to the early 2000s. They've done very well over time and we like those assets a lot. But they are local currency run companies and their revenues are in local currency. And so, we've seen a depreciation against the U.S. dollar because we have to translate those into dollars of about 15% to 20%, since last year's plan. So when we did the 2016 plan last year and showed you a number, those currencies have depreciated 15% to 20%, and there's to some degree, some offset in our tariffs and they catch up over time because we have adjustments in our tariffs. But we've adjusted the revenues or the net earnings from those companies for that change in FX rates from a year ago to the ones we have now. In Mexico, the tax expense I was just referring to a moment ago that's an annual adjustment kind of it goes from what was the peso at the beginning of the year to what it's going to be at the end of the year. And I think Debbie mentioned in her remarks that we haven't had this in our planning in the past. And the reason is we're not allowed to under accounting – GAAP accounting rules, we're not allowed to kind of forecast that. So, with this year, we put it in the plan because we know that the Mexican pesos forecasted to move about 3.5%. And so, we forecasted a change in our tax expense for that 3.5%. And so in 2016, we see a little bit of loss there. In 2015, we actually had earnings as a result of this. We had $31 million increase at Mexico and a $20 million decrease in South America, so we had $11 million plus. So again in 2013-2014, it was neutral and between 2015 and 2016 that is going to be kind of neutral. These things don't move the needle very much for us. They're pretty small.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Okay. That's very clear and I appreciate that. Last question for me. On the Renewables segment, just – and this is a small number, but if I look at the topline revenues in your Table F (52:19) sort of year-over-year, they are down. I'm just trying to understand why. I know that there's a lot of stuff below the line including tax and gains on asset sale and stuff like that they tend to move the needle – tend to move the earnings. But on the top line, I would suspect that that number would be relatively stable. So I'm just trying to understand why it would be down year-over-year.
Debra L. Reed - Sempra Energy: Yeah, I'm going to have Trevor go through that.
Trevor I. Mihalik - Sempra Energy: Sure. Faisel, what's really happening there is some of that is really the assets that have been dropped into the joint venture structures. And so there is certain assets that we owned a 100% in 2014 that are now owned 50% and then are picked up through the equity method of accounting.
Faisel H. Khan - Citigroup Global Markets, Inc. (Broker): Okay. Got it. It makes sense. Thanks guys for the time. I appreciate it.
Debra L. Reed - Sempra Energy: Thanks, Faisel.
Operator: We'll move on to Michael Lapides of Goldman Sachs.
Michael Lapides - Goldman Sachs & Co.: Hey, guys. One question on LNG, and less about your contracting and maybe more about just the broader LNG markets. I mean if you read the stuff that comes out of a lot of the economic consulting firms or other folks, they tend to talk about how the LNG market is oversupplied. And so that would imply that it would be a headwind for any new LNG development. And yet it seems with some of the things you talk about at Cameron 4 and Port Arthur that your views and your actions and potential growth are contrary to that. Just curious if you could talk a little bit about the global LNG market, what you see for the near term and what you see for the long term?
Debra L. Reed - Sempra Energy: Sure, I'm going to ask Octávio to answer that, but what I want to ask – to raise to you, is a lot of this is a about timeframe, and that what you read about is the current LNG market is seen as being oversupplied. What you also read about is that beginning in the 2020 period, and beyond there is a need in the marketplace for more LNG. So, now part of it is the timing of these things. So, if you were having a non-contracted project coming on today, that might be a real challenge. If you have a project coming on, when there is a market need, and that market need grows over time, then that's a very different market that you're going after. So, Octávio, why don't talk about the broad market and then how we feel that our facilities are going to compete in that market?
Octávio Simões - Sempra LNG Corp: Again, a bit of (54:51) introduction to the timeframe issue. The one thing that we need to start looking at is the current market is oversupplied as you indicated, no discussion about that, but we also have a little problem with the current market. We have an oversupplied market and yet the spot cargoes are more expensive than the long-term pricing, which was agreed in the tight market. So market is broken in its pricing formulas, and the market is adjusting to it as we speak and will adjust for the next couple of years. But our focus is not the current market. Our focus is 2020 as I've indicated, where you'll see that the current oversupply would we absorbed and then there is a shortage and unfortunately or fortunately, depending on your point of view, these facilities take five years, six years to come online once you decide to go forward. And as a result, we need to make decisions today to meet that demand. It is difficult to make. It's large capital investments when a lot of the big players are taking write-downs because of oil, that's the condition why the market is tough. Some of the buyers are confused by the oversupply, but our focus is not the current market. So globally, unless you believe we're going to switch everything from gas to coal and oil which would increase our carbon footprint significantly and it seems like the winds are the other way around, if you do believe that we are going forward, not only with a continuous economic growth, but with a change to a lower carbon footprint, then gas is going to play a role not just in the current markets but in other markets that are yet to open. One interesting statistics I heard this week at CERA Week was the fact that the lower demand from Korea and Japan was made up by increased demand in Middle East countries and therefore the demand didn't go away, and that was not there in the earlier projection. So globally, where our projects fit? We're comfortable. It is a tough market for people to make decisions when they're under significant pressure. But we think, we are offering to the market the lowest cost producing facility for 2020, and that's why the interest is there.
Michael Lapides - Goldman Sachs & Co.: And I remember at one of your investor meetings, you outlined where your facilities, I think it was your last Analyst Day. You outlined where your facilities sit on a cost curve relative to other global LNG facilities. Just curious, given the fact that Port Arthur is greenfield and Cameron was brownfield, the thing that surprised us back then and still does a little bit now is that they are so close to each other on that dispatch curve in compared to some of the others. How are you thinking about, how the economics of Port Arthur as a greenfield would differ from some of the disclosures you've given previously on Cameron 1 through 3?
Octávio Simões - Sempra LNG Corp: That's a very good question and I'll be happy to bring up another topic that sometimes gets forgotten. In the economics of the – pardon me, in the Cameron based project we included $1 billion of the cost of the existing facilities which is essentially replacement value. So the economics of Cameron in that chart you saw at Analyst Day, as well as all the other charts included the value of existing facilities. And so what we're doing with Woodside and Port Arthur is looking at ways to break some of the paradigms in the industry, keep it as safe and reliable as we want it to be as the customers expect it to be, but look at ways to reduce cost. Just like we found when we did Cameron, that we had the lower cost per ton for conventional technology of liquefaction. We have an even lower price for the expansion of Cameron for trains 4 and 5 and we expect to achieve similar results with Port Arthur. If we don't find that we can do that then, Port Arthur is not going to go away. We simply believe that the industry has to be going back to a discipline of developing the next lowest marginal cost available of supply in order to be sustainable.
Michael Lapides - Goldman Sachs & Co.: Got it. Thank you Octávio, much appreciated.
Octávio Simões - Sempra LNG Corp: You're welcome.
Operator: We'll go next to Feliks Kerman of Visium Asset Management.
Ashar Khan - Visium Asset Management, LP: Hi this is Ashar, how are you guys doing?
Debra L. Reed - Sempra Energy: Hi, Ashar.
Ashar Khan - Visium Asset Management, LP: Debbie, I just wanted to – there's a little bit of confusion, a lot of calls going on today. But if I'm correct, I heard you say in your prepared remarks, and please correct me if I'm wrong, that the goal is still to meet or exceed previous expectations set. Is that correct?
Debra L. Reed - Sempra Energy: I'm not sure what expectations you're referring to. What we're very focused on is that the growth that we have outlined for you in our plans is long-term contracted growth or in our utility. And that what we put in our base plan is things that we already have under contract and then expected utility performance. What we expect to do is over the next five years, we expect to add projects to that. And this last year alone, we added 325 megawatts of renewables that will come online late this year. We've added or will be adding when the transaction closes the PEMEX acquisition and that was not part of our base plan a year ago. So, our expectations are that we're not going to sit still, we're going to continue to develop and grow our business. And that what we show you though in terms of our growth is and when we get to our Analyst Conference, we will do what we always do which is the blue box and the green box. That shows you what we have contracted and what's basically in our utilities as projects approved or in our rate case. And then we show you what we're working on that could add to that growth over the five-year period of time and we'll be doing the same thing for you this year.
Ashar Khan - Visium Asset Management, LP: Okay. Thank you.
Operator: We'll go to Morningstar's Mark Barnett next.
Mark Barnett - Morningstar Research: Hey, good morning, everyone.
Debra L. Reed - Sempra Energy: Hi, Mark.
Mark Barnett - Morningstar Research: Thanks for all the comments on the LNG market today. I did want to ask one more question about Mexico. And I know that some of the pressure on PEMEX does create an opportunity in the – some of the assets they might be looking to offload. But I'm wondering if you know, you see beyond maybe this current slate of projects some headwinds just from the lower oil revenues from the Mexican government, and maybe if you could talk about how you see that balance of opportunity versus challenge?
Debra L. Reed - Sempra Energy: Yeah, I mean honestly, when you talk to our CEO in Mexico, he sees it as an opportunity, because the whole reason for a reform was to bring capital into Mexico to build the kind of infrastructure that they need for the kind of growth. And you have to realize, Mexico is going to be more competitive, the lower the energy prices are in the long term for them, that has been kind of their stumbling block on being globally competitive. So to the degree that they can use other party's capital and that would be us, I mean, we'd like to put our capital there and as if they can build the infrastructure that reduces their energy cost that they're moving forward on that basis. And so we think that, I think it's a struggle for PEMEX, with having being reliant on oil revenues, but it's an opportunity for us to come in and build things that wouldn't otherwise be built and that are needed as part of their long term Mexican infrastructure. So, that's kind of the way we look at it. Mark do you want to?
Mark A. Snell - Sempra Energy: Yeah, I would just – let me just add to that too. I think that the – when we talk about energy reforms in Mexico, I think a lot of folks are focused on the reforms at PEMEX and they haven't seen increases in production and some of the things that they expected to see from energy reform and I think that's entirely the fault of $30 oil, and very little to do with the reforms, what are coming out of the reforms is a massive amount of energy infrastructure within the company, within the country and that infrastructure is doing exactly what it's supposed to do, as Debbie said, it's lowering energy costs, bringing natural gas in the regions of the country that didn't have access to it before, it's making – it's really making a big difference on lowering electricity costs across the country, and that's working very, very well. And to the extent that low gas or low oil prices are hindering some of the reforms at PEMEX, I think that again is creating a large opportunity for us, because it increases the need for PEMEX for capital. It gives opportunities for us to look at the assets that they are going to be putting up for sale. And so, from our perspective, I think we think that the reforms are working very much as intended, and that we will continue to benefit as being one of the best placed companies in the country to take advantage of those opportunities.
Mark Barnett - Morningstar Research: Okay. And with the latest round of bids, I apologize if I missed it in your comments. I mean you gave the bid dates, do you have an estimate for when you might expect the results from the bidding process?
Debra L. Reed - Sempra Energy: They were looking at – they haven't given any specific dates, but probably in the March and April timeframe, is most likely.
Mark Barnett - Morningstar Research: Okay. Right. That's all from me. Thanks a lot.
Mark A. Snell - Sempra Energy: Thanks.
Operator: And it appears we have no further questions at this time. I'd like to turn the call back over to Debbie Reed for closing remarks.
Debra L. Reed - Sempra Energy: Well, thanks again, for all of you joining us today, and all of your excellent questions. We hope to see you at our Analyst Conference on May 24. And if you have any follow-up questions, our Investor Relations team is available to answer anything that was left off from the call today. Thank you very much.